Operator: Good day all, and a warm welcome to the Viad Corp Second Quarter 2021 Earnings Call. You have the opportunity to ask the management team a question at the end of the presentation. [Operator Instructions] I now have pleasure of handing over the call to Carrie Long to begin. Carrie, please go ahead.
Carrie Long: Good afternoon and thank you for joining us for Viad's 2021 second quarter earnings conference call. During the call, you will hear from Steve Moster, our President and CEO and President of GES; David Barry, our President of Pursuit; and Ellen Ingersoll, our Chief Financial Officer. Certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual, quarterly and other current reports filed with the SEC. During the call, we'll be referring to certain non-GAAP measures, including loss or income before other items and adjusted segment EBITDA. Important disclosures regarding these measures, including reconciliations to net loss or income attributable to Viad can be found in Table 2 of our earnings press release, which is available on our website at viad.com. With that, I'd like to turn the call over to Steve.
Steve Moster: Thank you, Carrie and good afternoon everyone. Thank you for joining us on today's call. On this afternoon's call, we'll discuss our business performance during the 2021 second quarter, provide some insights into the recovery of our industries and review our financial position. David will provide business updates for Pursuit shortly. And after that, I'll share some updates for GES. Ellen will cover our financial results and our recent debt refinancing toward the end of the call. Before I turn the call over to David, I'd like to thank our entire team for helping our businesses navigate the challenges of the pandemic and prepare for an acceleration of activity at both Pursuit and GES, as we head into the second half of the year. Throughout this period of disruption, we've been acutely focused on maintaining sufficient liquidity and taking actions to ensure we emerge stronger than before. I'm happy to report that we ended the second quarter in a solid liquidity position. And recently, we enhanced our financial flexibility through the successful refinancing of our revolving credit facility into a new debt structure that will serve us well into the future. Our industries have an encouraging outlook and we're well positioned for recovery with pent up demand for iconic and unforgettable leisure experiences and in-person live events. And now, I'd like to turn the call over to David to discuss what's happening across Pursuit. David?
David Barry: Thanks, Steve. Thank you all for joining us today. The second quarter of '21 was the clearest sign yet that the recovery is underway and accelerating across Pursuit. Our operations are in full swing for the peak '21 season and I'm incredibly proud of our leadership team and colleagues at all levels, as we return the Company to a growth trajectory. We live in exciting and challenging times and I can assure you that the Pursuit team is up to the challenge. Staffing levels and supply chain issues, combined with strong and growing demand have tested our teams and they've risen to the occasion. We've been very focused on team member engagement and culture, strong guest satisfaction and revenue growth. We see circumstances around the Pursuit world continuing to improve and we're encouraged by the booking activity we're seeing in the business. Ellen will go into greater detail on our financial results. But, briefly, Pursuit produced second quarter revenue of $36.3 million, an increase of $31 million over the same heavy pandemic period in 2020. Adjusted EBITDA for Q2, 21, we were $11.9 million year-over-year and was a positive $2 million. We expect this momentum will continue to build and we look forward to a busy third quarter in each of our operating geographies around the world. Here are some highlights from Pursuit second quarter 2021. Early season guest demand for our attraction and hospitality experiences in the United States has been nothing short of remarkable. In Alaska, we're very pleased to have seen record second quarter performance at our high margin attractions. Our Kenai Fjords Tours attraction saw revenue increased 6% from 2019, driven by a nearly 9% increase in effective ticket price and our Denali Backcountry adventure saw the best May and June on record, as we anticipated and seized the opportunity to increase capacity in response to very strong guest demand. Our Alaskan hotel properties performed well ahead of our pre-season expectations, with average daily rates exceeding 2019 by more than 10%. The strong growth has been driven by significant consumer direct demand. In Montana, Pursuit's Glacier Park Collection properties performed exceptionally well. Second quarter hotel occupancy increased 12% relative to pre-COVID 2019 levels. Average daily rates increased 5% and RevPAR increased 19% on a same store basis. When you're visiting an iconic bucket list destination, shopping is an important part of the experience. We're particularly pleased with the record retail results we're seeing in the Glacier Park Collection. Revenue and revenue per square foot increased 97% from pre-COVID 2019 levels in Q2 and those very impressive results are continuing into the third quarter. In Vancouver, we're appreciative of the patience that our FlyOver Canada operating team is shown in persevering through 6 long months of government imposed shutdowns and we were very pleased to reopen FlyOver Canada on June 18. The reopening of our Vancouver attraction was supported with some very compelling new film content and we've driven a 14% increase in effective ticket prices from the second quarter of 2019. And although visitation remains behind 2019 levels, we're exceeding our expectations on a daily basis. In Banff and Jasper, while the Canadian border remained close to international guests, we're encouraged by Alberta's recent decision to move to Stage III of its reopening plan effectively removing all capacity constraints from our attractions and hospitality experiences as of July 1. Almost immediately thereafter, we saw inquiries in bookings accelerate. Since early June, we've seen six consecutive weeks of revenue growth at our Canadian attractions and believe we're well positioned for a stronger second half of the summer. We opened our newest North American attraction, the Golden Skybridge on June 2. And we're very pleased with the guest feedback scores we're seeing at Canada's highest Suspension bridge. The Golden Skybridge offers our guest amazing and expansive views of the Rocky and Purcell mountain ranges from 426 feet above the Kicking Horse Canyon, river and waterfalls. And while we patiently wait for the borders to open, we remain focused on the quality of our experiences and are pleased to report strong guest feedback scores across attractions, lodging and food and beverage, including two number one rankings on TripAdvisor, the Sky Bistro restaurant in Banff and now The Pines restaurant at our Pyramid Lake Resort in Jasper. And now over to Iceland, I had the opportunity to visit in late June, was able to spend time with our teams at the new Sky Lagoon and FlyOver Iceland. At the end of April, we opened Sky Lagoon, Iceland's newest geothermal spot attraction, located just minutes from downtown Reykjavik. And the response from both media and guests alike has been nothing short of spectacular. In the quarter, we welcomed over 40,000 guests and in its first month of operation, the Sky Lagoon delivered margins that were accretive to overall Pursuit. FlyOver Iceland, we've seen a noticeable increase in guests in recent weeks, as international visitation into Iceland increased. Flight volumes in the Keflavik airport are gradually building and with that comes an increase in the number of international guests visiting our attractions. Now, let me share some insight into what we're seeing in our peak third quarter and beyond and some exciting details on new projects coming online in the next 12 months. First, the Canadian government announced that fully vaccinated American visitors will be permitted to enter the country on August 9. Following that powerful and important news, we've seen a double digit increase in call volume activity in bookings in Banff and Jasper. Given what we've seen in other geographies, once restrictions lift, we expect a strong acceleration of demand. We're optimistic about our pacing and business volumes for Western Canada for the remainder of the year. In Alaska and Montana, we're already operating at capacity or sold out for the balance of the '21 season and we're busy taking bookings for 2022 from consumer direct guests, who wanted to visit us in '21, but could not. In Montana specifically, as visitation to the Flat Head Valley in Glacier National Park continues to grow, the Kalispell airport has just broken ground on a three year expansion project that will help guests get to Pursuit's Glacier Park Collection experiences for years to come. In Iceland, with international visitation inbound to Keflavik airport increasing, we're well positioned to introduce visitors to our two world-class attractions, FlyOver Iceland and Sky Lagoon. We work with many tour and travel partners on a global basis. Demand for future seasons in all geographies is increasing and we're actively contracting both 2022 and '23 with travel trade partners from around the world. Western Canada, the United States and Iceland are universally viewed as well-run safe destinations and this safety factor is positively affecting future demand. In terms of new projects and Pursuit's Refresh, Build, Buy growth strategy, we've managed to successfully open 2 new attractions in 2021, the Golden Skybridge and Sky Lagoon and we have a third attraction set to open in September, '21 and a new hotel under development for delivery in 2022. I'm pleased to report that we're on track to launch FlyOver Las Vegas, our newest flying ride experience located on the strip across from the T-Mobile arena, ideally in the Park MGM, in the heart of Las Vegas. With Las Vegas' recovery fully underway, we anticipate a successful opening of this new iconic attraction in September, just a few short weeks from now. In Jasper, we've broken ground on a brand new 88-room hotel on the last commercial development site in Jasper National Park. The new hotel located at 78 Connaught Drive in the heart of iconic Jasper, is slated to open in mid-'22 and will augment our already strong market position in Jasper National Park. In closing, we're pleased with how the business has accelerated over the past several months and with our second quarter results. We're optimistic about a strong second half to the summer, with borders opening and we're thrilled to launch three new unforgettable attractions in 2021. Despite any short-term bumps in the road that may surface, we're optimistic about the distribution of vaccines and the accelerating recovery in attractions and hospitality. We believe our future is bright. And with that, I'd just like to thank every single one of our team members around the world who've worked tirelessly and shown incredible resilience over the past 17 months. Steve, back to you.
Steve Moster: Thanks David. Now switching over to GES, the recovery of the live event industry is underway. As local restrictions are lifted with increased vaccinations, convention centers and venues globally are opening their doors to once again bring us together. We're very excited to be back on the show floor, working with the world's leading brands and event organizers and we're encouraged by the early results we're seeing from the transformational changes we have made during the pandemic to improve GES's cost structure and more closely align our global resources to serve our clients. During June and July, our team successfully created many engaging brand experiences and produced several large scale events in geographies around the world. From Waste Expo and the nightclub and bar show in Las Vegas, Northwestern Mutual's annual meeting in Milwaukee, and the Chicago Auto Show, to the Calgary Stampede in Canada, the Formula E World Championship race in London and the Arab Health Exhibition in Dubai. With in-person event activity reignited, GES experienced a sequential quarter increase in revenue of about 30%. As business activity ramps up, our team is once again rising to the challenges presented by the pandemic to deliver great client service from planning through to execution and we're operating in a more profitable way. GES's second quarter adjusted EBITDA improved by $3.6 million as compared to the 2020 second quarter on comparable revenue. Our sequential revenue growth and improved EBITDA are clear indications that recovery has begun and our new leaner cost structure is driving improved profitability. Throughout the pandemic, our team has demonstrated tremendous flexibility and responsiveness and we continue to work closely with our clients to navigate ongoing uncertainties. The realignment of GES's organization into global service lines, have positioned us well to support the unique needs of these customer groups, both during and after the recovery. Within our brand experiences service line, we partner with leading brands around the world to manage and elevate their global experiential marketing activities. Our talented team builds immersive experiences with our clients, starting with the strategic plan, creating the content and design and finishing with the delivery and execution. We can deliver a broad range of unique and impactful experiences for our clients, including corporate meetings and events, digital experiences, brand and sports activations, product launches, strategic exhibition program management, corporate customer centers and consumer pop-up events and when in-person event activity halted as a result of the pandemic, we leveraged our strong experiential capabilities to create impactful virtual experiences to meet the needs of our clients. Brand activations and other unique experiences are a large fast-growing segment of the corporate marketer's budget that offer attractive margins, which represent a significant growth opportunity for GES. The market is fragmented with smaller event agencies that have niche capabilities. We have successfully expanded our market presence in this space as a trusted end-to-end provider with global reach and are excited to accelerate our growth as in-person events and other activations return. During the pandemic, we expanded our brand experience client roster as corporate marketers search for leading experiential agencies with staying power. In aggregate, the new brand experience business we won during the pandemic is projected to add annual revenue of approximately $35 million once at full run rate. And we continue to receive and respond to an elevated number of new business opportunities. To help accelerate our growth and deliver industry-leading service in this important area, we recently appointed a fantastic new leader, Jeff Stelmach as Global President of Brand Experiences. Jeff brings over 30 years of experience growing some of the most successful agencies in the experiential marketing space and has worked with some of the biggest brands in the business. He's a great addition to our team, and I look forward to seeing him build on the progress that we've made to date. Switching over to our exhibition and conference service line, GES is a firmly run global leader with a strong backlog of about $1 billion in future contracted events, generally spread across three to five year terms. We enjoy very high renewal rates, driven by our long-standing client relationships. However, this is a lower growth and lower margin service line than brand experiences. The key to our success and profitability improvement in the exhibition and conference service line, is maintaining a low cost basis by closely managing our variable cost as we ramp up with event activity. As discussed on previous calls, we took advantage of reduced business activity during the pandemic, to drive significant improvement to GES's cost structure at an accelerated pace. We shifted to an outsource model for certain non-core services and moved more activity to a variable or freelance labor model. We also permanently reduced our annual fixed cost base by about $10 million by exiting and downsizing facilities. Additionally, we've become more selective with the events that we'll produce, making the decision to give up revenue from lower margin events for a favorable cost reduction trade-off that will ultimately allow us to be more profitable on lower revenue. We're excited about the fundamental improvements we've made to position GES for greater success as the live event industry recovers. So let me talk a little bit about what we're seeing and expecting in terms of the recovery going forward. Ultimately, we expect a full industry recovery as business travel resumes and international participation returns. We're seeing clear indications of pent-up demand from corporate clients to return to in-person events, many with larger budgets than pre-pandemic. Although we've all had to adapt to virtual solutions while in-person interactions haven't been possible, we do not see this as a disruptor for the live event industry, but rather another important tool that can be deployed to make events more valuable. I expect digital elements will continue to play an important role in our industry going forward, as an extension of the physical event, to reach a broader audience with relevant event content. The slope of the recovery is still unclear, especially as the pandemic environment continues to shift and the world is now dealing with the uncertainty of the Delta variant. That said, we continue to have a busy event schedule for the second half of 2021, due to the events that were postponed from the first half of this year or in the case of MINExpo from 2020. On a same store basis, the net square footage being sold to exhibitors, which generally correlates to our revenue, is currently tracking lower than pre-pandemic levels by about 30% on average, and we expect to see improvements later in the year and into next year based on our visibility into the event marketing budgets of our corporate clients. Although near-term visibility remains challenging, our team is ready to respond and rise to the challenges thrown our way. We are prepared to win the recovery with accelerated growth from our brand experience and service line, and enhanced profitability from our exhibition and conference service line. I'm extremely proud of our employees and their incredible efforts to kick start the return of live events. They continue to put our clients first and adapt to evolving requirements in shorter lead times, as we re-imagine what events look like in a post-pandemic world, while keeping the safety of our employees and partners at the forefront of everything that we do. I'm very excited about the return to live events, the transformational changes we've made to our cost structure and the growth opportunities ahead for GES. We are reemerging stronger and are thrilled to resume creating the world's most meaningful and memorable experiences for marketers, organizers and event attendees. And now, I'd like to turn the call over to Ellen to discuss our financial results in more detail. Ellen?
Ellen Ingersoll: Thanks, Steve. As restrictions related to the COVID-19 pandemic began to loosen and Pursuit opened its seasonal properties and new experiences, we started to see improvements in our second quarter results. Sequential quarter revenue grew 112% to $61.2 million and was also more than double the amount of revenue we realized in the 2020 second quarter. The team continues to do an incredible job maintaining a sharp focus on controlling costs and maximizing revenue wherever possible. I'm encouraged by the uptick in demand we are seeing in our industries, as people are eager resume leisure travel and in-person live events. And I believe we are in an excellent position as we head into what is expected to be an eventful second half of the year. At GES, we realized revenue of $24.9 million as we supported our clients, primarily with virtual and hybrid events, while face-to-face events remains largely shut down until late in the quarter. This was up about 30% from the 2021 first quarter as more locations reopened for in-person events and essentially flat to the 2020 second quarter. GES' 2020 second quarter revenue included compensation for work completed on canceled shows and the conversion of convention centers into temporary hospitals in early April. GES adjusted segment EBITDA was negative $21.6 million, which improved by approximately $3.6 million as compared to the prior year, due to the cost structure improvements that we implemented. At Pursuit, we experienced year-over-year revenue increase of approximately $31 million and reached about 56% of the revenue amount generated in the 2019 second quarter. Pursuit second quarter revenue was $36.3 million and adjusted segment EBITDA was positive $2 million. As David mentioned earlier, Pursuit's adjusted segment EBITDA improved by $11.9 million year-over-year. This was largely the result of strong pent up leisure demand in destinations without significant COVID restrictions. Our Glacier and Alaska experiences which draw largely domestic travelers performed very well during the quarter. While the Canadian border remained closed, we continue to keep our focus on the local and regional markets to drive visitation and occupancy, while carefully managing our costs. Our net loss attributable to Viad was $42 million for the quarter and our net loss before other items was $38.6 million, which excludes restructuring charges, attraction start-up costs, acquisition, integration and transaction-related costs and other non-recurring expenses as applicable. We limited our operating cash outflow to approximately $7 million for the quarter and our capital expenditures totaled $15.4 million and were mainly at Pursuit including growth CapEx for the FlyOver Las Vegas attraction. Our cash outflows were lower than our prior guidance due to favorable working capital and the timing of capital expenditures. Both Pursuit and GES had stronger-than-anticipated advanced customer deposits due to increases in business activity with the easing of COVID restrictions. We ended the second quarter with approximately $37 million in cash and cash equivalents, and approximately $114 million of capacity on our revolving credit facility. At June 30, 2021 our debt totaled approximately $400 million, including approximately $327 million drawn on our revolving credit facility, financing leases of approximately $66 million and approximately $6 million in debt at our FlyOver Iceland attraction. On July 30, 2021, we successfully completed the previously announced process to refinance our $460 million revolving credit facility, which is set to mature in 2023, with the new $500 million facility that meaningfully extends the maturity of our debt and provides increased financial flexibility to support our growth initiatives. The new facility includes the $400 million Term Loan B that matures in 2028 and $100 million revolving credit facility that matures in 2026. The net cash proceeds from the Term Loan B were used to repay our previous revolving credit facility and added approximately $56 million of cash to our balance sheet. And the new $100 million revolver remains completely undrawn. In addition to adding immediate cash liquidity to our balance sheet, the new credit facility offers more flexible terms that will serve us well now and into the future. Previously, we were subject to a minimum liquidity requirement of $100 million and we were required to pay dividend to our convertible preferred stock in kind, rather than in cash. Under the new facility, the minimum liquidity was reduced to $75 million through June 30, 2022 and we are permitted to pay our convertible preferred stock dividends in cash, thereby preventing any additional common share dilution. More importantly, the new Term Loan B plus revolver structure gives us a strong platform that could scale with us as we resume our growth journey with continued Refresh, Build, Buy investments at Pursuit. I want to say a big thank you to all of the team members who helped us complete this transformative refinancing. And before I turn it back to Steve for concluding remarks, I'd like to briefly comment on our financial outlook. As mentioned earlier, we are expecting an acceleration of business activity at both Pursuit and GES during the third quarter. Pursuit will have three new world class attractions online during its peak summer tourism season and GES is expected to have a strong event schedule including the previously rescheduled MINExpo. Based on our level of bookings, we currently expect both businesses to be cash flow positive in the third quarter, with an expected operating cash inflow somewhere in the range of $50 million to $60 million. We expect to spend approximately $20 million in capital expenditures, including growth CapEx for FlyOver Las Vegas and our new hotel in Jasper, which brings our total expected free cash flow for the third quarter to $30 million to $35 million. These expectations are subject to the impact of COVID, including the Delta variant, which we are closely monitoring in conjunction with our bookings. We will continue to carefully manage our cash flows and be strong stewards of our capital to maximize shareholder value. As we look forward to the next few years, we expect our EBITDA to return to near 2019 levels by 2022 and surpass 2019 levels in 2023. We believe that Pursuit same store revenue will recover faster than GES's, due to expectations that leisure travel will return more quickly than business travel.  Pursuit will also benefit from incremental revenue from new experiences, both those that did not exist and those that did not have a full year in 2019. GES has a strong backlog of contracted events and an expanded roster of corporate clients. It is evident that there is pent-up demand for both industries based on the bookings that we are experiencing. We are excited about the recovery and growth ahead. And with that, I'll turn the call back over to Steve for some concluding remarks.
Steve Moster: Thanks. Ellen. We are reemerging from the pandemic in a position of strength, with GES transformed to be more profitable and Pursuit benefiting from pent-up demand of leisure travel and new experiences. We remain focused on our strategy to create extraordinary experiences and strong returns for our shareholders. For Pursuit, we will continue to significantly scale the business and drive growth through our proven Refresh, Build, Buy strategy, as well as take advantage of economic disruption and opportunities in the space. For GES, we will build on the progress we've made to-date, to improve the margin profile and resume generating strong cash flow through our more flexible cost structure and focus on higher margin client and services. We have a clear path to accelerate growth and significantly enhance shareholder return. Our liquidity position is strong and we have the financial flexibility to sustain and continue to invest in our future. We have high quality businesses with leading market positions in experiential leisure travel and experiential B2B events. We plan to capitalize on the pandemic disruptions to strengthen our leading market positions. Our growth strategy has been proven to be successful, driving strong returns pre-pandemic and there is tremendous opportunities to continue investing for long-term growth. I'm excited about the bright future that lies ahead for our Company. Thank you again to our hardworking and dedicated employees who make all of this possible and thank you to our shareholders for your continued support in Viad. And with that, we'll open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Bryan Maher from B. Riley Securities. Bryan, please go ahead.
Bryan Maher: Great, thank you. A couple of questions, a couple of points of clarification, I heard you gave a number of 40,000 guests at Sky Lagoon in Iceland, was that for a month or was that for the second quarter?
Steve Moster: That was for the second quarter.
Bryan Maher: Great and as you think about the second half of this year, with the Delta variant bearing it's head, have you seen any changes in the past couple of weeks as it relates to either the number of events that you're involved in or attendance?
Steve Moster: Yeah, Bryan, it's a good question. I mean we're monitoring the situation with the Delta variant very closely. To date, we haven't had any event cancellations within our portfolio. We have seen other events that are not in our portfolio, the marquee one that was announced yesterday was New York Auto. But we haven't seen anything within our portfolio at this point in time.
Bryan Maher: Great and can you give us a little bit of color as to how GES and Viad's profitability changes when you have different attendance levels events. Can you walk through that dynamic? So let's just say an event happens that you are involved with, but a tenant is greater or smaller than expected. How does that flow through to the company in broad terms?
Steve Moster: Sure, Bryan. And we have multiple product lines, some that correlate to the attendee count and some that correlate better to the size of the event and that square footage. The bulk of our revenue is really tied to the net square footage. So that's the one that we look at very closely and it strongly correlates to our revenue. And so we're not as bothered if there is fewer attendees at an event, but the size of the event is something that matters to us. And so we monitor that quickly or look very closely. And we're also, because of our cost structure today, we are able to adjust because as I mentioned during the comments, we are seeing shows that are about 30% smaller than what they were pre-pandemic. But given the cost reduction that we've done through the pandemic, we're well positioned to adjust to that.
Bryan Maher: Great and just two more quick ones from me on the positive side, is there an opportunity at all to kind of extend the season in Alaska, in Canada, given the demand - given that kind of everybody's kind of summer travel and the border opening is starting kind of later than everybody had hoped? Is there any way to push that back at all?
David Barry: Yeah. Thanks, Bryan. It's an interesting question. So in the history of the Banff Jasper call center, the inbound call center, last week was our record of inbound calls, 8,515 calls in the week, which is a remarkable number. So what we're seeing is that folks are organizing themselves. They're planning travel. We believe that we'll have a strong, meaning 90-plus days of what we describe as our summer season continuing that through October. We're extending where possible from a weather perspective and working to, obviously, respond and favorably host the demand that we're seeing, which continues to be very strong.
Bryan Maher: Great and then just lastly on the FlyOver Vancouver, you noted in your comments that you had pushed price higher versus 2019. Given the strengths that we're seeing in Las Vegas visitation, do you suspect that you might be able to push pricing higher there when you open, then you might have previously thought? And that's all for me.
David Barry: Yeah. It's an interesting question. We certainly monitor it. And I think what's important to remember in any attraction experience that it will be a blend of activity. So, you may have, say, a school group coming earlier in the day that's at a lower price, but we're always focused on maximizing our effective ticket price to the extent that we can provide a great guest experience and be proud and happy to charge for it. So, we may see some improvements there and time will tell.
Bryan Maher: Okay. Thank you.
David Barry: You're welcome.
Operator: Thank you. Our next question comes from Kartik Mehta from Northcoast Research. Please go ahead. Your line is open.
Kartik Mehta: Thank you. Ellen, I wanted to go back to a comment you made about 2022 EBITDA being near 2019 levels. And I'm wondering within that, what you're assuming for GES and Pursuit? Or what you expect in terms of comeback versus 2019 for both those segments?
Ellen Ingersoll: Yeah. So Pursuit will have - bring new attractions online, the Golden Skybridge, Sky Lagoon and FlyOver Las Vegas. So that will be in additions to 2019. And for GES, yes, GES will still be ramping up after the recovery. So that's what I would assume for 2022.
Kartik Mehta: So you are assuming that Pursuit kind of gets back to normal, plus they will have the addition of these three attractions and GES gets back to somewhat to what it was in 2019, did I understand that right?
Ellen Ingersoll: Yeah, let me clarify that. I would say Pursuit is not back to normal, but they have the three new attractions. So that puts Pursuit in a better position. And then so Pursuit and GES will still be ramping up, but GES a little bit slower than Pursuit.
Kartik Mehta: Okay. Perfect. And David if I could go back to your bookings comment, I'm wondering if you could compare booking today versus what it was in 2019. It seems like you're getting a benefit from increase in prices and maybe shoppers spending more than they have in the past. So, I'm wondering could you just compare bookings to date of 2019.
David Barry: Sure. Thanks Kartik, I can give you a sense. So if you go back in the time machine to 2019 and I'll give you reporting period year-to-date, August 2 for lodging in Alaska. We would have been holding on the books about $11.7 million of revenue for 2019. We're holding about $11.3 million right now and so the 2021 revenue, definitely, in line with the 2019 season and recovering quickly. So the question you just asked Ellen, also there is a benefit of our property that we're building in Jasper, which will be 88 new rooms coming online for the summer '22 season. If you take a look at Glacier Park and you think how is that tracking from a lodging perspective. Glacier Park same day 2019, we were sitting at 14.8 million just lodging revenue, we're sitting at 59, so significant growth both in the RV Park and in our lodging products and then what's interesting in Banff and Jasper is, obviously folks are smart, they've been getting their vaccinations, they've been organizing themselves for their trip to Canada and they've been waiting for the borders obviously, the news to take hold and have some clarity around when they can travel. So our call volumes are very, very strong, a lot of folks are calling to figure out how does it work, what do we need to bring, et cetera. We expect that we'll see strong demand and if the recovery in Western Canada as borders open, is anything like the recovery in Montana and Alaska, we'll have a very positive fall.
Kartik Mehta: Perfect and then, David just lastly, just labor costs and having enough people as you're ramping up, I guess what - how are you managing the ability to find people where all these attractions and maybe the ramp-up in visitation and - are labor cost increasing for you?
David Barry: Well, labor cost, you know, labor to revenue is obviously, we manage it very carefully and so we're not seeing a significant increase in overall labor. But I can tell you that each of our teams had to work very, very hard to provide the level of staffing and so we're focused first obviously on safety and the right ratio of staff to guests in terms of operating - operations in a safe manner. Secondly, you're selective and that you may not be able to offer full service in every single department. And I think what we've seen across hospitality is that, what do people care about? They care about getting out of their home and having an experience. They're traveling, they're enthusiastic to travel and to have experiences and to enjoy themselves. They're quite understanding, if for instance, we can't offer a particular thing, like a daily turndown service or other things in a lodging - lodging part of the business. So it's been a scramble. I'll be honest. But I think the teams across Pursuit at all levels have worked really hard to deliver and we're managing to provide some strong guest experiences. The ratings reflect it, our guest comments reflect it. And again, that was my note on appreciation for the teams, because it's tough to every day just be so busy, but they're handling it really well.
Kartik Mehta: Thank you. I really appreciate it.
David Barry: Welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from Tyler Batory from Janney. Tyler, please go ahead.
Tyler Batory: Good afternoon. Thanks for taking my questions. I appreciate all the details thus far. Just a couple from me and I want to start at GES and just unpack some of the commentary here. In terms of the outlook for the second half of this year, I think the last time we spoke, you talked about having more shows just smaller size. So I wanted to this get an update on that. If that's still your expectations for how the second half plays out. And then you made a comment in terms of the net square footage down 30%, what needs to happen for that gap to close with 2019, is that net square footage being down more due to restrictions that are out there still? Or do you think that's just more to perhaps some hesitancy on those that are participating in the events?
Steve Moster: Yeah. Tyler, to the first part of your question, what we're seeing is, the back half of the year, the calendar, it's holding similar to what we talked about last quarter. There are more events than we would traditionally produce just based on events that were postponed from either 2021 or even back into 2020. So the number of events is higher than what we would have seen normally. And we haven't seen significant cancellations at all for the back half of the year. And your second question was around the size of the event. And for us to - for these events to get back to their pre-pandemic level, it's really just a matter of corporations coming back on the trade show floor, either taking larger space or bringing new exhibitors onto the shelf floor, that aren't signed up for 2021. And we think that will happen over time as restrictions lift up, as people hopefully are more comfortable traveling and as international companies or international exhibitors start participating more at the US events.
Tyler Batory: Okay. And then the commentary in terms of third quarter GES being cash flow positive, I mean is it appropriate to think that you could break even on the EBITDA line in that business in the third quarter?
Steve Moster: Yeah. It's going to be higher than breakeven on the EBITDA line for us to be cash flow positive. And so, what I can say is toward the end of the second quarter, we actually started producing size - events of significant size. We see that continuing through the third quarter. Really in the second quarter, you only had a handful of events late in June that we're of size, in my opinion. And so the third quarter, we'll be doing larger events and it will be better than breakeven from an EBITDA perspective within GES.
Tyler Batory: Perfect. That's very helpful, very helpful. Switching gears for the Pursuit side of things and just as other clarification, I think in the prepared remarks, you talked about double digit increases in bookings for Banff and Jasper. So I want to be sure that I heard that comment correctly. And then, did you mean some of the increases over 2019, I just wanted to be exactly clear in terms of what you meant by that comment.
David Barry: Yeah. Pacing was relevant to '20 in terms of booking pace, and then basically looking at demand, inbound inquiries. To give you an example, my stat on the number of phone calls, biggest week ever in our history was 7,000 and as I mentioned previously, we took 8,516 last week. So it's quite interesting to see this demand, and we're seeing significant growth. Obviously it's going to take some time to transfer itself into bookings as people travel and familiarize themselves with leaving the country and entering a new country. But definitely, we feel the enthusiasm and pent-up demand there.
Tyler Batory: Okay. And then, I'm not sure how much detail you can provide on this, in terms of seasonality, Banff and Jasper, does season really extend past Labor Day or is it more of a typically just the traditional summer and things slowed down a little bit in the September? And then also if I could, just thinking about the border reopening out, I think it's September 7, it's opening to the rest of the world. So are you contemplating any bookings or perhaps marketing to try to attract some guests from Europe or other locations outside of North America?
David Barry: I'll take your first part of the question, Tyler. What's interesting is, we're seeing obviously, our season will extend right through the end of October. And we expect that the Banff Jasper Collection will have demand and volume of visitors through the entire month of October. So definitely does extend past Labor Day. The second question just on campaigns, so you'll see - if you're in the United States, you'll see a campaign starting digitally to promote obviously the Banff Jasper Collection and that started August 4 and that will continue because the date for US visitors is the 9 and then international visitors on September 7, remains to be seen. Most of our tour and travel partners are focused on '22 and '23 right now, obviously, because it's hard to build a program and promote a whole year. But we do expect that independent travelers, so consumer direct demand will grow. Canada, the US and Iceland as I mentioned, are really viewed as safe destinations with good infrastructure on the healthcare side, high percentages of populations that are vaccinated. So we expect that we will see demand internationally and we'll certainly have a sense of that by the time we get to September.
Tyler Batory: Okay. Great. A couple others if I could, just in terms of FlyOver Las Vegas, I think I actually got the email yesterday or the day before, in terms of the opening date, encouraged me to buy tickets. Just how are you thinking about the ramp-up out of the gate there, compared to the FlyOver Iceland, how are you thinking about marketing that attraction as well?
David Barry: So, I think what's interesting with Las Vegas is, if you look at Las Vegas as a destination with close to, in a typical year, and take 2019, 40 million visitors, Las Vegas is also very constant, doesn't have the same seasonality that you would have in markets that are busier, say May through September. So we expect Las Vegas will be exciting on a couple of areas. One, we're priced in a very attractive price point for Las Vegas in the $30 to $35 range depending on time of day. Second, we expect that demand will be strong in all seasons and remember that Pursuit historically, the second and third quarter on a calendar basis are heavy emphasis on revenue. One of the reasons that we've been excited about FlyOver Las Vegas from the beginning, is it helps us balance our earnings on a seasonal basis, and we expect that Las Vegas will be busy 12 months a year. And given its demand in our location, Las Vegas Strip that we think we'll have strong demand there. And we have a great team in Las Vegas. I hope they're listening on the earnings call. This is a group of experienced attraction leaders that have joined Pursuit from some pretty famous names, I won't mention who they are, but just that we have a very experienced team with deep knowledge of that market and I'm confident in their ability and the rest of the team at Pursuit to support business volumes for FlyOver Las Vegas. Content is phenomenal. I can tell you that, because I've seen it. It's exciting, and where also - as the two flying theaters within the same complex, we're able to show content from other FlyOver locations around the world. So when you visit us in Las Vegas and you see FlyOver the real Wild West, you'll also be able to take a second ride and see FlyOver Iceland or any of our other content, depending on the time of year. So it's an exciting time for us.
Tyler Batory: Great, I appreciate all that. I don't know - the last question for me. Just interested, the landscape in terms of M&A opportunities, what does the pipeline look like? And what's your comfort in terms of your liquidity position if you wanted to go out and do a deal or participate in M&A?
David Barry: Ellen, do you want to grab that one or you like me to - yeah?
Ellen Ingersoll: Well, I'll start and then you can point to the prospect. So as you saw, we just did a new refinancing, so brought more liquidity to our balance sheet, our minimum liquidity for the next year through June 30, 2022, drops from $100 million to $75 million, brought $56 million of cash on our balance sheet. So we have more liquidity to do some things in the short term as well as fantastic liquidity to the long-term, seven year Term Loan B. So David, if you want to talk about the - any commissioning and the pipeline?
David Barry: Yeah. And Tyler, you know we can't get into much detail on what we're looking at in the pipeline, but I can just tell you that the pipeline is robust. It's interesting. There are some things that really have strong strategic fit. We're working hard on a myriad of opportunities and hopeful that we can turn some into reality and we'll certainly let you know as they become clear.
Tyler Batory: Great. I appreciate all the details. Very helpful, thank you.
Steve Moster: Thanks Tyler.
Operator: Thank you. It appears we have no further questions. On behalf of myself and the audience, thank you for taking those questions. I'll hand back over to the team for any final remarks.
Steve Moster: All right, thank you very much. Thanks everybody for your questions and your interest in Viad and we look forward to talking to you again next quarter. Thanks a lot.
Operator: Thank you, David, Steve and Ellen for joining in this earnings call. Have a lovely day ladies and gentlemen. You may now disconnect.